Operator: Good morning. My name is Chris, and I will be your conference operator today. At this time I would like to welcome everyone to the Eaton Vance Fourth Quarter Earnings Conference Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I’ll now turn the call over to Dan Cataldo, Treasurer. You many begin your conference.
Dan Cataldo: Thank you and welcome to the Eaton Vance 2015 fiscal fourth quarter earnings call and webcast. Here this morning are Tom Faust, Chairman and CEO of Eaton Vance; and Laurie Hylton, our CFO. We will first comment on the quarter and then take your questions. The full earnings release and charts we will refer to during the call are available on our website eatonvance.com under the heading Press Releases. Today’s presentation contains forward-looking statements about our business and financial results. The actual results may differ materially from those projected due to risks and uncertainties in our business, including but not limited to those discussed in our SEC filings. These filings, including our 2014 Annual Report and Form 10-K are available on our website or upon request at no charge. I will now turn the call over to Tom.
Tom Faust: Good morning. October 31, marked the end of our fourth quarter and 2015 fiscal year. The fiscal year began with the U.S. Securities and Exchange Commission announcing on November 6, 2014, it’s intent to approve our exemptive application requesting permission to offer next year’s exchange-traded managed funds. As most of you are aware, next year is our new type of actively managed fund designed to provide improved performance and enhance tax efficiency versus similar rate managed mutual funds. Over the past 12 months we have devoted considerable attention to developing the NextShares opportunity and preparing for product launch. As I will come back to we expect to begin the stage introduction of NextShares funds in the first quarter of calendar 2016. We finished fiscal 2015 with $311.4 billion in managed assets up 5% from $297.7 billion at the end of fiscal 2014. In fiscal 2015, we generated net inflows of $16.7 billion equating to a 6% organic growth rate. This was our 20th consecutive year of positive net flows. The company’s organic growth in fiscal 2015 was led by Parametric’s portfolio implementation an exposure management businesses with net inflows of $10.8 billion and $9.3 billion respectively. While these businesses have a lower management fee rates in our actively managed strategies Parametric’s large scale efficient operations enable us to realize profit margins here that are similar to overall corporate averages. And because they offer a compelling value proposition and are not subject to competition on the same basis as active investment strategies, client relationships tend to be sticky and asset turnover rates low. We like these businesses and expect them to continue growing at an accelerated rate. Among traditional active strategies we saw strength across taxable and tax free fixed income mandates, which combined for a $7.2 billion in net inflows in fiscal 2015 versus less than $200 million of net inflows in fiscal 2014. Leading contributors to the fixed income net inflows were municipal bond ladders, high yield in our short duration strategic income fund. We saw a significant year-over-year flow improvement in alternatives and EVM managed equities, which went from net outflows of $3.9 billion and $5.3 billion respectively in fiscal 2014, to net outflows of $700 million and $900 million in fiscal 2015, a combined improvement of $7.6 billion. EVM equity flows improved sequentially over the course of fiscal 2015 finishing with positive net inflows in the fourth quarter. So not yet a meaningful contributor to organic growth, EVM equities are no longer a detractor from growth. We sell net outflows this fiscal year primarily in two areas floating-rate bank loans and Parametric emerging market equities, which had net outflows of $5 billion and $4.7 billion respectively. Adding the effective market declines our managed assets in these two areas fell by $14.6 billion or 5% of total consolidated AUM in fiscal 2015. Principally reflecting lower managed assets in bank loans and emerging market equities, our fiscal 2015 revenues declined by 3% to $1.4 billion and our adjusted earnings per diluted share fell 8% to $2.29 from a record high $2.48 in fiscal 2014. In the fourth quarter of fiscal 2015, we had net inflows of $4.6 billion, which again equates to a 6% annual organic growth rate. Like for the fiscal year as a whole, exposure management, portfolio implementation and fixed income each had strong net inflows and flow weakness was concentrated in floating rate bank loans and Parametric emerging market equities. In the fourth quarter, we had adjusted earnings per diluted share of $0.53. This equates to a 7% decline versus the prior quarter and reflects a 4% drop in revenue due to market related declines in average managed assets and product mix related declines in average effective fee rates, 3% lower operating expenses and $0.01 per share negative variance in net income and gain loss on the Company’s seed capital investments. Laurie will discuss underlying trends in fee revenues and expenses in more detail shortly. As we enter fiscal 2016, I can’t remember a time when we had so many high performing funds at October 31, we had 51 funds with overall Morningstar ratings of four or five stars for at least one class of shares including 20 funds with five star ratings. The strong performers cover a broad range of asset classes including large SMID and Small Cap equities balanced floating rate, high yield, short duration and floating rate income as well as many national and single state municipal income funds. With growth in the investment business, now going primarily to passive mandates, active management is largely a market share gain. Across and increasingly broad swap of the actively managed marketplace our favorable performance positions us to grow by taking share from poor performing managers. At the same time we’ve few if any, major franchises and whose relative performance make them vulnerable to market share losses. As bank on an emerging market equity category up was debate or better yet revert to net inflows, our strong performance across categories positions are actively manages franchises as a whole to resume organic growth. Looking forward to fiscal 2016, we have four primary near-term strategic priorities, capitalizing on high performing active investment strategies, building a global equities business around EVM’s new London based global equity team, growing our custom beta franchises and launching next year. As evidenced by our 51 four and five-star rated funds, we have a broad menu of high performing active strategies. Our top performers include funds and categories like bank loans, mid-cap growth, high yielding municipal income where we have long been recognized as the market leader. Other top performers like our five-star rated balanced real estate short duration government income and short duration strategic income funds are not category leaders, but have investment profiles that stack up extremely well versus peer funds many times our funds size. It is imperative to our growth story that we take advantage of the opportunities offered by strong performing strategies in order to asset classes. And that’s a major focus for 2016. For last couple of quarters we’ve talked about our initiative to build a global equity capability with an Eaton Vance management. With the initial hiring I have a new team leader and senior portfolio manager earlier this year and subsequent hiring of seven more equity professionals, we now have this team fully built out with staff who are operating from London, Boston and Tokyo. We expect to launch new fund products for sale in the U.S. this quarter and we’ll begin marketing the capabilities of this team to institutions immediately. While we know it, it will take time to build recognition, our performance track record and ultimately a significant managed asset base we’re confident that we have the pieces in place for long-term success with this team. Our custom beta separate account initiatives seeks to build on the success that we’ve already had with Parametric’s tax-managed core and EVM’s later municipal bonds separate accounts, the custom beta concept is to provide access to an underlying benchmark of market exposure through direct holdings of individual securities with customization to meet individual client needs and preferences. This is our answer to index investing, low cost, benchmark based separate accounts customized to fit the individual client, for many years Parametric’s tax-managed core strategy has offered separate account exposure to passive indexes with initial and ongoing tax management and tax reporting using the same customization technology Parametric is now expanding it’s custom core service offering to include a growing array of responsible investing strategies plus portfolio factor tilts that include value, quality, momentum, dividend yield and low volatility all is specified by the client. In fiscal 2015, Parametric grew its tax managed core business from $22 billion to $27 billion with an expanded product offering in a larger sales effort, we expect continued strong growth in fiscal 2016. Our second custom beta offering is municipal bond and corporate ladder separate accounts. Here again, we offer clients low cost market exposure to separate accounts holding individual securities, value-added elements of this strategy include initial and ongoing credit analysis, institutional buying power and customization to fit the individual client. During fiscal 2015, we grew our ladder in separate account business from $3.4 billion to $6.2 billion an increase of over 80%. With corporate ladders and the process of rolling out a major broker dealers and mini ladder sales still showing good momentum we expect continued strong growth in fiscal 2016. Turning to NextShares, during the fourth quarter of fiscal 2015, we continue to advance toward product introduction making progress on multiple fronts. In August, Envestnet announced an initiative to make NextShares funds available to financial advisors through its wealth management platform. In September, the online brokerage Folio Investing and Folio Institutional announced plans to offer NextShares funds. Also in September, Columbia Threadneedle became the 12 funds sponsor to indicate their intent to offer NextShares by entering into a preliminary agreement with Navigate in filing a request for exemptive relief with the SEC. With Columbia Threadneedle, the NextShares filers now collectively manage approximately $640 billion in mutual fund assets and sponsor almost 260 funds currently rated four, five stars by Morningstar. We have four main near term priorities for NextShares. First, we want to introduce the initial Eaton Vance sponsored NextShares funds in the first quarter of calendar 2016. For this to occur, we need the SEC to declare a fact of the initial funds registration statements and NASDAQ, FINRA, DTCC, Folio and various fund service providers to be ready for trading to begin. Although not completely within our control we expect all the pieces to be in place for our first quarter launch. Many people at many organizations are now working hard to make that happen. Second, we continue to support efforts by other fund sponsors to develop and commercialize their own NextShares funds. All the other initial licensees have now received their SEC exemptive relief and are awaiting SEC sign off of the NextShares disclosers in the Eaton Vance fund registration materials used as a template in their own fund filings. At the end of September, Navigate hosted the first ever in-person meeting of the NextShares consortium an enthusiastic gathering of more than 50 attendees representing all 12 companies. Although, less visible then what Eaton Vance is doing other consortium members to continue to devote significant resources to developing NextShares and figure them prominently in their product strategies. Third, we continue our efforts to enlist more fund sponsors to become NextShares licensees and more broker dealers to offer NextShares to their customers. Over recent weeks, we have made good progress in discussions with multiple major broker dealers and hope to have news to announce shortly. Ultimate success of NextShares requires access to a broad lineup of broker dealers and we are seeking to build that. Among the principal objectives of the staged rollout of NextShares beginning in the first quarter is to demonstrate broker dealers that NextShares are straight forward to implement and trade consistent with expectations. Finally, we continue to monitor and as appropriate participate in industry dialogue and SEC initiatives to shape the future of the fund industry and exchange traded products. As many of you are aware, the extreme dislocation and ETF trading that occurred on August 24 of this year has caused market participants and regulators to ask hard questions about the trading efficiency of ETFs, particularly during periods of market stress. Two SEC commissioners have recently issued calls to re-examine the entire ETF trading ecosystem, seeking to determine what went wrong on August 24 and how better to protect investors. We know this is an area of intensive current focus at the SEC. One answer may be NextShares, unlike how ETFs trade, the NAV based trading mechanism that underlies NextShares does not require market makers to engage intraday arbitrage to function effectively. And provide investors with complete realtime transparency of their relationship between trading prices and fund values. Based on the differences in trading mechanism, it seems highly unlikely that the dislocations experienced by ETFs on August 24 would have occurred for NextShares. This has two favorable implications for NextShares. First, it appears unlikely to us that the SEC will act to approve any less than fully transparent active ETF concepts that are understood to trade less well than current ETF that themselves demonstrate trading efficiencies of such concern. Second, there may be opportunities for NextShares in the passive space. We’re seeing some interest by sponsors of index ETF in converting to NextShares to gain the trading efficiencies and shareholder protections of the NAV based trading. Although conceived as a structure for active fund strategies. NextShares may well have application as a vehicle for passive strategies in a better exchange traded format. Whatever happens in this regard, fiscal 2016 promises to be a busy and productive year for NextShares. I will now turn the call over to Laurie.
Laurie Hylton: Thank you and good morning. As Tom mentioned, we are reporting adjusted earnings per diluted share of $2.29 for fiscal 2015, compared to $2.48 a year-ago. On a GAAP basis, we earned $1.92 per diluted share in fiscal 2015 and $2.44 in fiscal 2014. As you can see in attachment to our press release, adjustments from reported GAAP earnings in fiscal 2015, primarily reflect a onetime payment made to terminate certain closed end funds service and additional compensation arrangement. Where the adjustments in fiscal 2014 primarily reflect changes in the estimated redemption value of non-controlling interest in our affiliates that are redeemable at other than fair value. We are reporting adjusted earnings per diluted share of $0.53 for the fourth quarter of fiscal 2015, compared to $0.68 for the fourth quarter of fiscal 2014 and $0.57 for the third quarter of fiscal 2015. Adjusted earnings for the third and fourth quarters of fiscal 2015 are the same as reported GAAP earnings, on a GAAP basis, we are in $0.66 per diluted share in the fourth quarter of fiscal 2014. With adjustments from reported GAAP earnings primarily reflecting changes in the estimated redemption value of non-controlling interest in our affiliates that are redeemable at other than fair value. Excluding the first quarter payment of $73 million to terminate certain closed end funds service and additional compensation arrangement operating income for fiscal 2015 declined 9% year-over-year. Reflecting a 3% decrease in revenue and flat operating expenses. Our average assets under management increased 5% year-over-year to $303.8 billion. Our full year revenue was down 3%, primarily due to a decrease in our overall average effective investment advisory and administrative fee rate and lower managed assets and fund share classes that are subject to distribution and service fees. The decrease in our overall effective investment advisory and administrative fee rate reflect significant year-over-year growth and comparatively low fee exposure management portfolio implantation and fixed income assets under management combined with net outflows and market driven declines in certain higher fee franchises most notably floating-rate in emerging market equity. As Tom mentioned, managed assets in our floating-rate and emerging market equity franchises declined by a combined $14.6 billion this fiscal year due to outflows in market depreciation. The asset declines in these franchises put significant pressure on our operating results in fiscal 2015 and in particular our fourth quarter. Our fiscal 2015 operating results were also adversely affected by spending in support of significant business initiatives. On a combined basis, the build out of EVM’s global equity team preparing to launch NextShares and closing our Fox Asset Management subsidiary, together reduced fiscal 2015 earnings by more than $0.07 per diluted share. While each of these endeavor’s hurt short-term results, we’re confident in our ability to add to company profits over the long-term. The dynamics that put pressure on our fiscal 2015 operating results were particularly in evident in our fourth quarter. In the quarter, total revenue decreased 7% from the fourth quarter of fiscal 2014. Despite a 4% increase in average assets under management reflecting a decline in our overall average effective investment advisory in administrative fee rate from 43 basis points to 38 basis points, and a decrease in managed assets in fund share classes that are subject to distribution in service fee. The decrease in our overall average investment advisory and administrative fee rate year-over-year primarily reflects changes in product mix. A decrease in performance fees also play roll here, the performance fees of $2 million in the fourth quarter of fiscal 2015 falling sort of the $6.3 million recognized in the fourth quarter of fiscal 2014. Quarterly revenue decreased by 4% from the third quarter of fiscal 2015, reflecting a 1% decline in average assets under management and a modestly lower average effective investment advisory administrative fee rate. As mentioned, performance fees for the fourth quarter of fiscal 2015 totaled $2 million, which compares to $1.7 million in the prior sequential quarter. Our overall average effective investment advisory administrative fee rate continues to be driven primarily by the mix of business among mandates of different fee rates. Our average effective investment advisory administrative fee rate in equities decreased to 64 basis points in the fourth quarter of fiscal 2015, from 67 basis points in the fourth quarter fiscal 2014 and 65 basis points last fiscal quarter. The three basis point decrease in our average effective fee rate in equities year-over-year reflects lower managed assets in our relatively high fee emerging markets franchise, as well as roughly $4.3million dollars decrease in performance fees year-over-year. Our average effective fee rate in fixed income decreased to 42 basis points in the fourth quarter fiscal 2015, from 45 basis points a year ago, and 43 basis points last quarter, reflecting the significant year-over-year growth in muni ladder separate account assets, which have an effective fee rate below that of most other mandates in the fixed income category. Effective fee rates in our alternative floating rate, portfolio implementation and exposure management categories were largely unchanged at 63 basis points 53 basis points, 15 points and 5 basis points respectively. Strong growth and lower fee franchises will likely continue to exert pressure on our overall average fee rates going forward. The growth of well performing actively managed strategies may provide some level of counter pressure. Shifting from revenue to expense, compensation expense increased 5% in fiscal 2015, primarily reflecting a 4% increase in headcount to support growth at Parametric and new initiative the Vance Management and incremental stock based compensation expense recognized in fiscal 2015 due to employee retirements and determination. Variable compensation expense was flat year-over-year with modest increases in sales base incentives offset by decreases in operating income based incentive. Driven in part by hiring to support initiatives that are not yet generating revenue. Compensation expense increased to 35% of revenue from 32% last year. We continue to monitor and control hiring carefully in this environment. Distribution related costs including distribution and service fee expenses and the amortization of deferred sales commission increased 16% in fiscal 2015. Primarily reflecting the $73 million paid in the first quarter of fiscal 2015 to terminate certain closed end funds service in additional compensation arrangements. In terms of quarterly comparisons distribution related expenses decreased 13% in the fourth quarter of fiscal 2015 compared to the fourth quarter of fiscal 2014 and 4% compared to the third quarter of fiscal 2015. Primarily reflecting lower service fee and other intermediary distribution expenses driven by a decrease in the average fund assets under management subject to those fees. Distribution related expenses were further impacted in the fourth quarter to fourth quarter comparison. By the termination of certain closed end fund service and additional compensation arrangements in the first quarter of fiscal 2015. Fund related expenses, which consists primarily of subadvisory fees and fund expenses borne on funds through which we earn all-in fee were largely flat in fiscal 2015. Other operating expenses were up 4% in fiscal 2015, primarily reflecting increases in information technology, certain professional services and other corporate expenses. Other corporate expenses for fiscal 2015 included the acceleration of approximately $500,000 of amortization expense related to the closing of Fox Asset Management. Expenses related to our NextShares initiative, which are included in multiple expense categories. Including compensation expense and other operating expenses totaled just under $8 million for fiscal 2015 compared to $3.7 million for the prior year. As in fiscal 2015, fiscal disciple around discretionary spending will remain top of mind in fiscal 2016. Given the revenue headwind, we’re facing in the ongoing expense pressures associated with significant initiative. Net income and gain losses on seed capital investments reduced earnings by $0.01 per diluted share in the fourth quarter of fiscal 2015. Contributed $0.01 per diluted share in the fourth quarter of fiscal 2014 and had no impact in the third quarter of fiscal 2015. I’m quantifying the impact of our seed capital investments on earnings each quarter, we’ve taken a consideration of our pro rata share of the gains, losses and other investment income earned on investments and sponsored products. Whether accounted for is consolidated funds, separate accounts, or equity method investments as well as the gains and losses recognized on derivatives used to hedge these investments. We then report the per share impact as non-controlling interest expense in income taxes. Changes in quarterly equity and net income of affiliates, both year-over-year and sequentially, reflect changes in net income and gains recognized on seed investments and sponsored funds accounted for under the equity method. Our 49% interest in Hexavest, which is reported net of tax and the amortization of intangibles and equity and in net income of affiliates, contributed approximately $0.02 per diluted share for all quarterly periods presented. Excluding the effect of CLO entity earnings and losses, our effective tax rate was 38.6%, for the fourth quarter of fiscal 2015, 36.7% in the fourth quarter of fiscal 2014, and 38.9% in the third quarter of fiscal 2015. We currently anticipate that our effective tax rate, adjusted for CLO earnings and losses, will be approximately 38.5% as we move into fiscal 2016. In terms of capital management, we repurchased 2.6 million shares of non-voting common stock for approximately $91.1 million in the fourth quarter of fiscal 2015. When combined with repurchases of the preceding three quarters, we reduced our average diluted shares outstanding by 3% for the fiscal year on our ending shares outstanding from 188.3 million on October 31 2014, to 115.9 million on October 31, 2015. We finished the fourth quarter, holding $542.6 million of cash and short-term debt securities, and $247.6 million in seed capital investments. Our outstanding debt consists of $250 million of 6.5% senior notes due in 2017 and $325 million of 3.625% senior notes due in 2023. We also have a $300 million five-year line of credit, which is currently undrawn. Given our strong cash flow, liquidity and overall financial condition, we believe we’re well-positioned to continue to return capital to shareholders through dividends and share repurchases. This concludes our prepared comments. And at this point, we’d like to take any questions you may have.
Operator: [Operator Instructions] The first question is from Dan Fannon with Jefferies. Your line is open.
Dan Fannon: Thanks. I guess, if you guys give us a little bit color on the outlook for expenses next year, you’ve commented about being focused on it. But maybe you think about help us think about headcount growth kind of the fixed cost, kind of growth rate we should think about for next year.
Laurie Hylton: In terms of headcount growth as I mentioned we’re monitoring our headcount growth very closely I think that we’re more or less the tail end of our hiring relating to our global initiative. But we will have the full impact of those hires in our compensation for next year. And I think more broadly in terms of compensation I think you’ll see that you know comp as a percent of revenue ticked up this year to about 35%. Given going into the first quarter that we have those normal cyclical pressures on compensation including the impact of base increases going in which is roughly 3%. We have to reset our payroll clocks, because we have got the calendar year ends in the midst of our fiscal quarter. We have our 401(k) funding which largely gets completed in the first quarter. There will be some incremental compensation pressure in the first quarter which I would certainly want to try and model in. I think that in terms of our discretionary spending again we’ve been doing our best to provide some detail around our NextShares initiative. This year we spent roughly $8 million. We would anticipate, we would have spent NextShares in that range. I think the rest of our discretionary spending we’re doing everything we can to keep a very tight lid on it given that we’ve had the revenue pressure that we’ve had. So I don’t have anything more specific that I can give you at this point in time, but if there’s is very specific question you like to ask, I’m happy to answer it.
Dan Fannon: I guess, that’s helpful. I guess a follow-up question for Tom on NextShares. I guess is there any specific hold up or points of contention with any of the potential broker-dealers that you are look – you are talking to that they are focused on or I think you gave some confidence that you expect to announce something soon? I just would be curious if it’s an expense issue or its just timing and just people getting comfortable with how you are presenting it in the opportunities said, but if you could give us a little bit of color on how those discussions are going with the buy side, everyone side with the sell side.
Tom Faust: There is nothing specific to point to other than its new, it’s different. We are in a relatively rapidly evolving market for investment advice. I would say one thing that probably hurt us has been uncertainty about the Department of Labor’s new fiduciary rule. And I think it’s interesting that I maybe would think of that as a negative, because in a sense of it’s a clear positive, because it has the effect of driving business towards advisory accounts which is the natural home for NextShares. But the bigger affect in the short run has been just a certain chilling in the market in terms of allocation of resources and there’s this fear out there that broker-dealers will be quickly required to implement a set of rules that they don’t know what they even are today and that they are reluctant to commit to a technology build or new product initiative ahead of that until they know the scope of that. And with certainly with one major broker-dealer that’s been their ongoing theme about NextShares, which is – we like NextShares, we understand what you’re trying to do. We see that it is not only good for our clients, but potentially good for our business but we want to see what happens with the Department of Labor initiative before we commit resources to NextShares. In other cases I mean there have been some cases where that’s been less of a point of emphasis and all of these organizations this is a decision that involves multiple parts of the organization, there is the technology people, there’s the business people getting them to focus on this opportunity is sometimes a challenge. We suffered in a couple major cases from important changes in personnel sort of midstream and their analysis of this. So there is no one thing that keeps people from signing up. As I mentioned we continue to make good progress. We’d like things to happen on our timeframe, but we are unfortunately not in a position to dictate timing. But we are expecting to launch in the first quarter. As I mentioned Folio investing is a broker-dealer that by all everything we understand will be ready to launch and trade NextShares during that timeframe. The important thing for that – one of the important things of that with other broker-dealers is to give them experience. So that they can see how NextShares trade, to see how NextShares perform to ensure that some of the questions that are on the list today are answered by live experience. Many of these are relatively conservative organizations. They want to see proof that this works that happens by live experience in the marketplace and that’s one of the things, we are trying to provide by doing that stage introduction in the first quarter.
Dan Fannon: Great, thank you.
Operator: The next question is from Bill Katz with Citigroup. Your line is open.
Bill Katz: Okay. Thank you very much. I appreciate taking the question. I just wondering if you could talk a little bit about you had mentioned that the margins have been so affected by some of the bigger pools of assets, emerging market and bank loans coming in versus the mix of volume coming in from some of your more recent initiatives. So as you look at beyond technically the first quarter how do you see the interplay between maybe fee rate and margins as you look for the full year of 2016. Should we expect margins can rebound from these current levels or is it more a function of revenues growing and margins saying flattish to reflect some of these interplays between assets and fee rates.
Tom Faust: Maybe Laurie can add to this Bill, but I think the key factor is what happens to our relatively high fee business. I think both Laurie and I mentioned that we lost $14.6 billion during the course of the year in relatively high bank loan and emerging market equity assets which represents about 5% of our total consolidated assets at the beginning of the year. So why did we see revenues go down last year and why did we see pressures on margins? There were some spending to support corporate initiatives that contributed I think Laurie said that was about a $0.07 item if you put them all together. But the big overriding factor that drove revenues down that drove margins down and ultimately drove earnings down was that decline in revenue tied to loss of those might be assets. What will cause margins to move up or down? I think will be largely the trend of those or similar high fee businesses over the course of 2016. I think the good news is we don’t see any other franchises that based on their performance or based on vulnerability within their asset class look to be at risk in 2016 in fact, we see quite the opposite we see significant room for growth and quite a few relatively high fee active strategies where we have very strong performance and are expecting growth next year. In terms of those two franchises emerging market equities and floating-rate bank loans, it’s speculation on our part, but our guess is that we will have a significantly better year next year than we have this year. We suffered in bank loans from a couple of things. We had over the course of the year maybe unusual pressures associated with continued frustration that the Fed doesn’t seem to act and people view these as plays on short-term interest rates. I don’t think that’s why the best way to think of bank loans, but that is certainly an aspect of why investors invest in bank loans. I think there’s a reasonable chance maybe even a good probability, it will start to see action by the Fed to increase rates in 2016. Even if they don’t, I think one of the things that’s happened is that we had a lot of money move into the bank loan asset class in 2013 and anticipation at that point of rising interest rate. Maybe those investors weren’t really fully informed or fully committed about what this asset class was. I think there is a lot of that money is now been flushed out of the asset class. So we feel that although you don’t see it too clearly demonstrated in the quarterly flows that our trend is positive. We did have in the fourth quarter something north of $1 billion of outflows tied to a major platform that had allocated their bank loan assets through our Eaton Vance funds allocating reducing our allocation in bank loans to zero. I guess the only good about that is they can’t go lower than zero. So that’s behind us. In terms of emerging market equities I think that’s a largely macro emerging market equity call from my perspective or what it’s worth this is one of the cheapest major asset classes across the investment landscape. There are certainly fundamental concerns about different of the individual emerging markets. But I’d like to think that the pressures on that business will be less going forward than we saw this year, but that’s a fairly volatile maybe fringe investment category from some people’s perspective. Great place to be long-term, but also potentially an area with some short-term volatility. So the things as we model our business and think about revenues and margins and earnings at all sort of is driven by what happens primarily on the top line. And that’s largely a function of what’s happening in these and a couple of major franchises that hurt us this year. I think on the sort of the lower fee part of our business and those businesses I think are poised for continued growth. We don’t see – and we like that. It’s not like growth of exposure management or implementation services or muni ladders That’s not hurting our earnings. It’s not necessarily hurting our margins even, but what hurts us is losing the high fee stuff. And when that ends, we would expect to see an improving trend of revenues, earnings, margins, again.
Bill Katz: Yes, that’s very helpful. Just a follow-up question. And I appreciate taking all the questions. Just on NextShares in your prepared remarks Tom, you mentioned that you hope to have some new shortly – I just saw one of the broker deals, I was also wondering if you can give us names, but maybe profile wise, the type of distributors where you are seeing the best progress whether it be warehouses or RIA whether it would be some of these online platforms portfolio and then you had mentioned possibility perhaps we thinking the economic value proposition in terms of pricing and revenue share, et cetera. So it curious if there’s been any sort of update as you think about that with working through with some partners.
Tom Faust: So we’re talking to major broker-dealers distribution platforms really across the landscape so warehouses, independence and platforms serving registered investment advisors. They are major companies in each of those categories that we continue to be an active discussion with. The nature of those discussions I’d prefer not to get into the details of those certainly we need to make the case to them or we are making the case to them that this is good for their clients and that’s maybe at least controversial aspect of that everyone gets that NextShares has real performance advantages and real tax advantages potentially over existing actively managed fund structures. We’re gets a little more complicated is trying to figure out the impact on the firm. It is this good or bad for their business. On the face of that you’d think that what’s good for their clients would be good for them, but sometimes it’s more complicated than that. A part of that is getting comfortable with what the spend is to implement NextShares. We face this – I think is a universal belief among business people that there’s no such thing as a small technology project. We have I believe – we are in the process of demonstrating through Folio that NextShares can be implemented in a broker-dealer system in a quite cost-effective way. And we are taking that experiences and hoping to apply it to other broker-dealers. So that’s a bit of a challenge is getting the business people on a focused on this that they engage the technology people at the right level and with the right attitudes and trying to figure out how do we do this best and most cost-effectively. The other aspect of the business deal beyond the cost and challenge of the systems conversion ultimately is what is their economic model coming out of this? Are NextShares thought of as a complement to or potential replacement to ETS or they thought as a complement our potential replacement to traditional mutual fund shares. That will vary by place, but generally we are of the view that the primary source of assets into NextShares is likely to be institutional class mutual fund shares, where the economics of offering those is very similar to what broker-dealers and what individual financial advisors are a custom to. But the challenge for us, I think is trying to motivate firms to be – to not to offer NextShares to be, but to be the first mover, that to be a first mover. And that’s the challenge here, right. Because nobody here is saying that if the market embraces NextShares, that they won’t offer NextShares. The question is who will be first. And being first has some advantages and there’s a long tradition in our industry and others that the firms that tend to be early adopters often retain leading market share position for many years. The downside of that is it’s more work and it maybe some perspective it’s more risk to be innovative and even when it’s something that’s demonstrably better for the client. So I’ve said this before on these calls but my least favorite analogy of 2015 is chicken and egg. How do we get – how do we breakthrough that in terms of getting fund companies getting broker-dealers and getting other people involved in the system involving a new fund type to break through this and want to act. And our goal, our challenge is to try and push through in our shop to make this happen. We’ve made a lot of progress, but we’re not in the marketplace, which was certainly our objective at the beginning of the year, but are quite optimistic that we will get there and make significant progress in 2016.
Bill Katz: Okay. Thanks, Tom. I appreciate it.
Operator: The next question is from Craig Siegenthaler with Credit Suisse. Your line is open.
Craig Siegenthaler: Okay, thanks. Can you hear me okay?
Tom Faust: Yes, we can hear you fine.
Dan Cataldo: Fine, clear, yes, thanks.
Craig Siegenthaler: Hi, perfect. So I want to circle back on comp expenses. I was wondering, I heard the earlier commentary from Laurie, but I was wondering, can you provide a specific range for 1Q just given all the seasonal expenses?
Laurie Hylton: I guess the way I would try to think about it Craig, is at the end of the day in the fourth quarter roughly 60% of our comp expense was fixed and 40% was variable. I can’t tell you what variable is going to look like, because I don’t know what sales are going to look like in the first quarter but I would anticipate that you are not going to see a decrease in the fixed component and that’s a place where I think we will see the incremental seasonal issues. So that will probably pop up modestly in the first quarter, because we do have these issues with three sets and all the others.
Craig Siegenthaler: Laurie, are you able to quantify the seasonal items specifically that did not occur in the fourth quarter, but that will occur in the first quarter?
Laurie Hylton: We’ve got the additional compensation expense associated with payroll taxes, which is the normal quarterly reset. You go back [indiscernible] models quarter-over-quarter last year, you will be able to see that. It’s just under $1 million, but I think in terms of the reset on 401(k). We’ve got roughly 3% increase in base compensation associated with just the normal increases associated with the base review cycle at the end of the fiscal year. You will have just the added expenses associated with some of the global analyst that we’re hired at the very tail end of the fourth quarter that will be fully into the first quarter. I can’t give you specific numbers on that, but you probably want to factor that in. I think those are going to be the big ones on the fixed side and if there are a couple potential retirements that will pump up our stock-based compensation expense in the first quarter normal retirements that happen at the end of October that don’t get factored into the first quarter.
Craig Siegenthaler: Got it. And just a follow-up to your NextShares, I heard Folio FN is going to be launched in the first quarter, but I may have missed on color on Envestnet. Are launching both of them in the first quarter?
Tom Faust: So Envestnet although they have a small broker-dealer they primarily operate through other broker-dealers. Their primary focus with NextShares is to develop models based on an array of NextShares funds. Possibly including NextShares as part of a model that encompasses either ETFs or mutual funds. But the primary thinking has been focused on developing models of NextShares funds. We don’t expect to have a broad menu of NextShares funds in the first quarter. There will not be other fund sponsors besides Eaton Vance offering funds in the first quarter. So Envestnet is interested in this and continues to work on this, but they need a broader menu of funds to be available for what they have in mind really to work and we expect that to happen later in the year.
Craig Siegenthaler: Got it. Thanks for taking my questions.
Operator: The next question is from Michael Kim with Sandler ONeill. Your line is open.
Michael Kim: Hey guys, good morning, good afternoon. First, so if you’ve had success in terms of signing up a number of third party managers that plan on offering ETMS at some point, but just wondering if you have any insight into sort of their level of commitment to these vehicles as it relates to asset gathering and related timelines. And then any color on the structure of the underlying licensing agreements, again as it relates to kind of timing and/or the financial side.
Tom Faust: Yes. So I mentioned in my prepared remarks that we had the initial meeting of the NextShares consortium as we call it which as we had representatives from all 12 firms gathered in Chicago. I think there were something like 50 or 60 people that were there. Broad enthusiasm for NextShares it was a bit of a pep rally at least from my perspective. There is strong interest across that group and launching funds timing is determined by a couple of things. Again as I mentioned my prepared remarks before any of these firms other than Eaton Vance can launch. They need to file with the SEC registration statements for their initial NextShares fund. And then more or less at the same time have NASDAQ prepare and file on their behalf what’s called 19 before which is a request to list and trade the individual fund. Neither of those should be very lengthy processes. The holdup there has been following our advice we’ve said rather than creating your own language in your own registration statements used the language that Eaton Vance is using in our registration statement, which is in the process of being reviewed and we believe finalized by the SEC. Once our registration statement is approved and declared effective that provides a template that other fund sponsors can use in their registration statement. We would expect those to be filed generally out of an existing series trust, which means it’s typically a 75 day automatic effectiveness on those so it’s not a particularly lengthy process. Our process of getting 19 before approval with the list and trade was quick there were no issues there. So we think that from the time that we get our registration statements approved to when funds are filed by other licensees, to when they get approved and when they are available to list and trade should be a relatively short period within a short matter of months. So I can report there is continuing broad interest in the concept there is a lot of work that’s being done by these firms, many of them have identified an initial menu of funds that they intend to file and ultimately launch. But here again going back to my least favorite analogy of the year there is a chicken and egg aspect of this that none of these firms have as their primary distribution outlet today but we are investing. So we need to make significant strides in developing out a broader distribution system if we expect to have a large complement of NextShares funds available. And we are working hard to make that happen. It’s probably important to say that the other fund companies have been significant allies in trying to make the case to the broker-dealers that this is something that should be done. A well-timed well-placed phone call can be very helpful and a number of leaders of those companies have been willing to do that and have been constructive in those conversations.
Michael Kim: Okay, that’s helpful. And then as it relates to share repurchases got more bit more aggressive on that front similar to what we saw from many of your peers last quarter, but just looking ahead, assuming pricing remains favorable do you feel like you can sustain a more elevated level of buybacks particularly as you start to think about perhaps needing to earmarks some capital for seeding the ETMS.
Laurie Hylton: Yes, we don’t, I myself wouldn’t want to commit now to what our share repurchase in is going to be. I would anticipate we will continue to be active in the market, I do think to your point we obviously have some things that were looking to do with some capital in the next six months or so including potentially seeding our Nextshare funds as we look to our launch in the spring. So I would reiterate what we’ve said previously our first goal is always to reinvest in the business and then our second goal is to use excess capital to buy back shares and pay dividends to shareholders and I would anticipate that we would continue to look to do that.
Michael Kim: Got it. Okay, thanks for taking my questions.
Operator: The next question is from Eric Berg with RBC Capital Markets. Your line is open.
Eric Berg: Thanks very much. Tom you just indicated that none of the major mutual fund companies that you have signed up for NextShares use as their primary distribution source either Envestnet or Folio. So with that as a backdrop I’m hoping we can return to the question of sort of an earlier question about the holdup and maybe build on your earlier response in terms of let’s call it separating fact from fiction. And by that I mean that, what is – there’s been so much talk about sort of why we haven’t signed up a Merrill or UBS and. I’m imagine some of its true and some of its not true. Talk about technology and inability to get the technology done talking about 12 B-1 fees. What are true obstacles verses issues that people have thrown up that simply do not represent a valid hurdle that you have to overcome in terms of signing up a truly large distributor.
Tom Faust: Eric I think the major challenge we have relates – and this may sound simple – it’s timing focused priorities. And what we are trying to do, all these companies are run by incredibly busy people with a With lots of things to think about. Our biggest challenge is to get the focus of attention of the key leaders of these companies who have lots of other things to do and lots of competing demands on their time to get them to understand that NextShares can be a game changer. NextShares are coming. It is in their business interest to be a leader in this. And that they can help grow their business by offering this superior product structure to their clients. There are lots of details around that, but to me that is the fundamental challenge of this. And it is a – we’re doing everything we can to make that case. There are no – maybe I’m missing something but there are no based on what we’ve been told and based on what I understand. There are no hidden secret roadblocks that I’m aware of. There’s nothing that says that anyone of the firms you mentioned or others like them that make the strategic decision that we want to do this can achieve it There will be some money involved in technology and training and other things. But we’re committed to working with these firms and making it happen. Don’t read into the fact that no majors have signed up. That we are – we somehow lost the battle. As I mentioned we are engaged in active conversations that are hopeful can’t promise that are hopeful that we’re close to some agreements that will be announced shortly.
Eric Berg: If I could ask one follow-up question and then carry it over to the next question. This one for Laurie, could you explain why if I have this right the pressures or the developments that have been pressuring your revenues and margins in the fiscal year were even more pronounced or among the most pronounced the before quarters, in the quarter just ended. What was it about the most recent quarter that made these factors particularly noteworthy?
Laurie Hylton: Yes, hi Eric. I think that’s a big – the big issue in the fourth quarter was a market volatility and a significant declines and I think that where we really felt it was the fact that we came out of July at one point and then almost immediately the market fell out of bed in August stayed down in September and didn’t really rebound until the end of October. So if you were to look at our beginning and ending assets for the quarter it really doesn’t tell the story about what happened in the course of the quarter so we really felt particularly in emerging markets we felt it very strong in the fourth quarter, probably more so than in the rest of the fiscal year.
Tom Faust: So Eric It is really a function of the average assets through the quarter being meaningfully lower than the beginning an end point of reported AUM. And that’s what we have a sense didn’t get fully reflected in the revenue models.
Eric Berg: Thank you.
Laurie Hylton: You’re welcome.
Operator: Next question is from Ken Worthington with JP Morgan. Your line is open.
Ken Worthington: Hi, good morning. Looks like 2015 will be particularly big year capital gain distributions despite depressed returned. It also seems like many of Eaton Vance’s tax managed equity products are generating some stronger performance. And the muni fund performance. I think is – has really rebounded. So what are the views on tax management investing next year for Eaton Vance and again moving maybe beyond parametric? And along those lines are the resources that you expect to allocate to the marketing of tax managed investing in product development in tax managed investing. Do you think those will be kind of lower similar or higher next year when compared to 2015?
Tom Faust: So we have multiple flavors of tax managed investing you touched on several of them but just to list them so it’s Parametric index based Tax Managed Core which is about a $27 billion franchise we have various flavors of municipal bond investments run either from Boston or from our team in New York, that’s about $30 billion and we have a call it may be $10 billion of active tax managed equity products run from Eaton Vance in Boston. We and all of those businesses have benefited from in some ways an extraordinarily favorable investment environment or maybe said differently unfavorable investment environment for taxpaying investors meaning favorable environment for managers for managers of tax efficient equity in fixed income products, meaning that tax rates are quite high on capital gains depending on where you live, you’re paying a high net worth individual in a state like Florida or Texas the doesn’t pay state income taxes paying around like 25% percent taxes on long-term capital gains and 45% percent taxes on short-term gains. If you live in California or live in New York City, you can – you’re paying probably something like 33% on your short-term, sorry, on your long-term capital gains and something north of 50% on your short-term capital gains. Combined with the market that’s rallied significantly over the last, I guess, seven years, six years since the decline in the bottom in 2009. Many people are very focused on this. As you mentioned mutual funds are likely to pay out big capital gains distributions at the end of the year. As we plan for 2016, we see growth opportunities in all aspects of our tax managed business. This is an easy conversation for us to have with financial advisors, who are looking for ways to differentiate themselves to add value to their clients without having to make bets on either big asset allocation calls or big bets on individual managers. Time has demonstrated over and over again that an investment advisor one of the best investment best ways for an investment advisor to add value with clients. Is by providing timely actual ideas to make their portfolios more tax efficient, Tax Managed Core, Muni letters, tax managed equities and I would say NextShares that when these get introduced. All fit very nicely into that NextShares fits in because like ETFs and unlike today’s mutual funds, they are positioned to meet withdrawals primarily on an income basis by distributing securities, which allows the funds to avoid gains and connections with client withdrawal. So in terms of budgets, I can’t really speak to individual budgets, I don’t carry those numbers in my head. I will tell you that of our four key initiatives for next year, which I will repeat are custom beta, global equities, high performing investment strategies generally in NextShares. All of these potentially touch in some ways on better serving the interest of high net worth tax paying investors. And that has been a big focus of ours and certainly will continue to be a focus of ours, particularly in the current environment of high tax rates and pretty large embedded capital gains and client accounts.
Ken Worthington: Okay, great. Thank you. I guess, we’re in afternoon, so I will leave it to one. Thank you very much.
Tom Faust: Okay, thanks a lot.
Ken Worthington: Thanks, Tom.
Operator: The next question is from Patrick Davitt with Autonomous. Your line is open.
Patrick Davitt: Hi, thank you for the time. Going back to the floating rate flow conversation, I think a lot of us would have expected to start to see an uptick in that given the increase in confidence of a rate hike. And it occurs to me that the credit environment does deal a lot of more stress now than it did in 2004. Do you think that that may be playing into the lack of an uptick there and may be kind of compare and contrast your experience than and now in that world?
Tom Faust: So we have seen a little bit of a sell-off in bank loan prices, which is consistent with your observation of more concerned about credit. Most of those credit concerns in the U.S. have generally been focused on the energy sector. There is not a big energy component of the bank loan market, so that’s not much of a factor. We tend to be of the view that credit conditions remain benign for the U.S. economy probably. It does feel like the economy might be slowing a little bit, but we’re not really seeing that in bank loan prices, a little bit of that, but not a lot of that. It feels like a may be a healthy pause here, I don’t know. Things can certainly worse. There is a lot of uncertainty in the world, but could cause a slowdown in the economic activity. We’re not seeing it yet. I don’t think that directly there is a connection between concerns about the direction of the economy and retail flows into bank loan funds. The connection is probably investors looking at price and look at returns and to the extent that bank loan prices come down that impacts returns and I don’t know what bank loan returns have been year-to-date but it’s pretty modest I think it’s something close to zero. I think I have those numbers here. So the impact is I think an indirect one, which is that credit concerns effects, prices of bank loan funds, effect of returns of bank loan investments, which has the impact of making the asset class, maybe not look so attractive. Through the – just through the end of numbers in front of me, through the end of October our institutional class shares of our floating rate bank loan fund there returns of about 80 basis points. So, although it’s a much higher yielding factor asset class we have seen declines over the last three months returns again through the end of October. We’ve lost about 1.5% in total returns over the preceding three months. So that was a three month period of quite tremendous volatility and many other asset classes, commodities, emerging markets, et cetera and sold off way more significantly. So I think there are some of that, but I think the biggest factor that drives bank loan flows is this rate anticipation trade and again rightly or wrongly people seem to view bank loans as an investment you want to own during periods of rising short-term interest rates. To me this is an investment diversifier that provides income and credit exposure without duration risk. And that’s something that should be appealing in all market environments. But for many investors and many advisors are people seem to want to own these when there are confident that short-term rates are going to be rising or maybe at the same time when they’re feeling pressure that the bond prices might be falling. So maybe not very helpful but those are my views.
Patrick Davitt: Thanks a lot.
Operator: There are no further questions at this time. I’ll turn the call back over to Mr. Cataldo for any closing remarks.
Dan Cataldo: Great. Thank you all for joining us this morning. We hope you all have safe and happy Thanksgiving. And look forward to reporting back to you in February at the close of our first fiscal quarter for 2016. Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may now disconnect.